Operator: Greetings, and welcome to the Heartland Financial USA,, Inc. First Quarter 2014 Conference Call. This afternoon, Heartland distributed its fourth quarter press release and, hopefully, you've had a chance to review the results. If there is anyone on this call who did not receive a copy, you may access it at Heartland's website at www.htlf.com.
 With us today from management are Lynn B. Fuller, Chairman, President and Chief Executive Officer; Bryan McKeag, Chief Financial Officer; and Ken Erickson, Executive Vice President and Chief Credit Officer. Management will provide a brief summary of the quarter and then we will open up the call to your questions.
 Before we begin the presentation, I would like to remind everyone that some of the information management will be providing today falls under the guidelines of forward-looking statements as defined by the Securities and Exchange Commission. As part of these guidelines, I must point out that any statements made during this presentation concerning the company's hopes, beliefs, expectations and predictions of the future are forward-looking statements, and actual results could differ materially from those projected. Additional information on these factors is included from time to time in the company's 10-K and 10-Q filings, which may be obtained on the company's website or the SEC's website. [Operator Instructions] 
 As a reminder, this conference is being recorded. At this time, I will now turn the call over to Mr. Lynn B. Fuller at Heartland. Please go ahead, sir. 
Lynn Fuller: Thank you, Jen [ph], and good afternoon. We appreciate everyone joining us today as we review Heartland's performance for the first quarter of 2014. For the next few minutes, I'll touch on the highlights for the quarter. I'll then turn the call over to Bryan McKeag, our EVP and Chief Financial Officer, who will provide further detail on Heartland's quarterly results. Then, Ken Erickson, our EVP and Chief Credit Officer, will offer insights on credit-related topics.
 I'll begin today with the good news that Heartland's pre-provision, pretax core operating earnings for the first quarter were strong. Unfortunately, pretax income was reduced by $4.5 million in provision expense, associated with a single large credit that was charged off at the end of the quarter. Our pre-provision, pretax earnings were $14.9 million for the first quarter compared to $10 million for the fourth quarter of 2013, so we've seen nice improvement in our pre-provision, pretax earnings. These positive results were driven by excellent loan growth, which resulted in an increased net interest margin. Net income available to common shareholders for the first quarter was $6.7 million or $0.36 per diluted share. However, without the single large charge-off, net income available to common shareholders would have been $9.3 million or $0.50 per diluted share. 
 As I mentioned, we believe Heartland's overall performance for the first quarter was positive. For example, our successful achievement of loan growth, which is our #1 priority, continues to be exceptional. For the quarter, loans grew by $81 million or an annualized rate of 9%, more than double the industry's 4%. This is our fourth consecutive quarter of solid loan growth, all of which was organic for this quarter, with commercial representing the largest portion. And at present, pipelines continue to look strong. 
 We're also gratified by the steady improvement in our level of nonperforming assets. For the first quarter, we're pleased to report a steep decline in nonperforming assets of over $12 million. Nonperforming loans to total loans fell below 1% to 0.89%, approaching the lowest level we've seen since 2006.
 We're also very pleased with our net interest margin, which increased to 3.92%, and that's the best we've seen since the second quarter of 2012. In addition to loan growth, margin benefited from a better asset mix, improved yields on securities with little or no increase in duration and a continued decrease in deposit cost.
 Annualized return on average common equity for the first quarter was 7.41%, and 8.5% on average common tangible equity, below our target of 12%. In terms of capital, our tangible capital ratio increased to 5.78% from 5.29% in the previous quarter. Our goal continues to drive this measure into the 6% to 7% range. Book value and tangible book value per share ended the quarter at $20.36 and $17.86, respectively. But looking at the balance sheet, total assets declined during the quarter to $5.7 billion from $5.9 billion at year end. Though we experienced strong loan growth, deposits were flat. 
 This is a common seasonal adjustment, which we typically experience similar to previous years. We do continue to benefit from a shift in deposit mix as demand deposits, along with low-cost savings and money market, represents 81% of total deposits with 19% remaining in CDs. Bryan McKeag will provide more detail on our balance sheet and income statement in his comments.
 Now I'd like to provide an update on the progress of Heartland mortgage, our residential real estate division. During the first quarter, we originated approximately $175 million in loans. With applications up nicely, we see monthly originations increasing to $75 million to $100 million per month over the next few months. Our current origination mix is 65% purchased and 35% refi. I'm pleased to announce that Paul Johnston joined Heartland Mortgage as President at the end of March. Paul brings thorough knowledge of the mortgage business to Heartland with experience on both the sales and operations sides of the business. 
 With regard to M&A, our pipelines continue to be extremely robust. We continue to add to our list of potential opportunities for expansion throughout the Heartland footprint. We believe our company is in a great position to leverage new acquisitions and realize cost savings. And as I have shared with you in the past, these are primarily stock transactions with a small amount of cash.
 Looking ahead to the next several quarters, our Heartland management team will be focused on the following top 5 priorities: First, our #1 priority is continued growth in quality loans, most of which will be funded from cash flow out of our securities portfolio. Second, running a more efficient organization. We are accomplishing this through some branch closings and a new retail division, which is producing savings and increased sales activity in our branch offices. 
 On the commercial side, we've enhanced sales management tools to improve both lender productivity and sales activity. And finally, we have a number of process improvement initiatives underway in Heartland's centralized support departments. 
 Third, its continued emphasis on developing fee income from mortgage, wealth management brokerage and treasury management services. 
 Fourth is growth in core DDA and savings, which will result in continued improvement in deposit mix. 
 And, fifth, successful integration of accretive acquisitions. 
 Our master strategy of balanced profit and growth remains unchanged. As we implement these top 5 priorities, we are confident that we can commit to doubling both earnings and assets every 5 to 7 years as we've demonstrated through most of our history.
 In concluding my comments today, I'm pleased to report that at its April meeting, the Heartland Board of Directors elected to maintain our dividend at $0.10 per common share, payable on June 6, 2014. 
 I'll now turn the call over to Bryan McKeag for more detail on our quarterly results. And then Bryan will introduce Ken Erickson who will provide commentary on the credit side. Bryan? 
Bryan McKeag: Thanks, Lynn, and good afternoon. Over the next few minutes, I'll share some details on the main performance drivers of our quarterly results and provide updates on some of our key operating metrics. I'll start with the balance sheet.
 The available-for-sale investment portfolio declined $233 million and the held-to-maturity portfolio increased $20 million with the total portfolio ending the quarter at just under $1.7 billion, representing 29% of assets down from 32% at the end of 2013. 
 During the quarter, we repositioned our portfolio to improve the yield and reduce exposure to a rise in interest rates by selling approximately $75 million of lower yield and agency securities that were held in the Morrill & Janes portfolio. In addition, we sold some lower-yielding, mortgage-backed securities. We also adjusted our muni holdings by selling $75 million of non-bank qualified and purchasing $25 million of bank qualified munis into the held-to-maturity portfolio.
 The tax equivalent yield on the portfolio increased 11 basis points during the quarter to 2.92%, reflecting the impact of the sales and run-off of lower-yielding securities. The duration of the portfolio remained relatively flat at 4.6 years, up slightly from 4.5 years at the end of 2013.
 Moving on to the loan portfolio. Loans held for sale reversed their recent trend and drew $8 million to end the quarter at $55 million, reflecting a pickup in Mortgage business near the end of the quarter. Loans held to maturity had net growth of $81 million or 9% annualized this quarter, ending the quarter at $3.6 billion. Excluding the $417 million of loans added from acquisitions in 2013, core growth was very -- has been very strong over the last 12 months at $370 million or 13%.
 On the liability side, wholesale borrowings declined $168 million as investment portfolio cash flows in excess of loan growth was used to fund reductions of $153 million in short term and $15 million in long-term borrowings.
 Shifting to the income statement. Net interest margin expanded 10 basis points to 3.92% for the quarter compared to 3.82% in the prior quarter. This increase reflects the previously mentioned 11 basis point pickup in investment yields, a reduction in liability interest cost of 8 basis points, offset by an 8 basis-point decline in loan yields. More importantly, net interest income continue to grow in the first quarter, increasing to $48.6 million from $46.4 million in the prior quarter. This is the eighth consecutive quarter of increasing net interest income and this trend should continue in line with our loan growth. 
 As I stated, we continue to make progress in reducing our interest costs, which declined another 8 basis points this quarter. Our greatest opportunity continues to be in time deposits with about $100 million maturing per quarter over the next several quarters at average rates of around 1.3%. We have been experiencing a 50 to 75 basis-point reduction in cost as these certificates mature. 
 Our interest rate risk modeling continues to show that we are asset-sensitive, which we believe is appropriate given the current interest rate and economic environment. Ken Erickson will provide information on the provision for loan and lease losses, which totaled $6.3 million for the quarter. Noninterest income totaled $18.7 million for the first quarter, up $1.5 million compared to the prior quarter. The increase is primarily attributable to a $1.7 million or 29% increase in mortgage banking income. 
 More specifically, gain on sale of loans was up $1 million from the prior quarter as loan application activity began to pick up in March, resulting in a $30 million increase in our locked pipeline at quarter end compared to last quarter end, which positively affected gain on sale. However, this was partially offset by a lower volume of mortgage loans sold, which totaled $150 million for the quarter, down 30% from the prior quarter. 
 Loan servicing income increased $700,000, due in large part to lower MSR amortization expense as a result of slowing prepayment speeds being experienced within the service portfolio. The service loan portfolio continue to grow ending the quarter at $3.1 billion. This portfolio has grown $680 million or 28% over the past 12 months.
 I should note that we made a couple of reporting changes this quarter. First, the capitalized MSR booked on new, sold and serviced mortgage loans was moved from the loan servicing income line and is now included in gain-on-sale of loans. We believe this change will make our reporting of Mortgage Banking revenue more comparable to other institutions. 
 Second, we have broken out the gains and losses on sales of repossessed assets as a separate line within noninterest income. This activity had been reported within the other real estate owned and loan collection expense line. We believe this presentation of gain and loss activity will increase the transparency of these items. We have restated all periods within the press release for these changes and will do so in our 10-Q and K filings going forward.
 Switching to noninterest expense. Expenses for the quarter totaled $52.4 million, which is a decrease of $1.1 million from the prior quarter. Salary and benefit costs increased $2.2 million quarter-over-quarter, primarily due to increases in payroll taxes, insurance costs and annual merit increases. All other expense categories declined by a combined $3.3 million from the prior quarter. The decreases were primarily related to approximately $1.8 million of prior quarter nonrecurring cost related to tax credit, investments, acquisitions and branch closures. In addition, we had decreases of $900,000 in other real estate and collection cost and $300,000 in marketing expenses.
 In summary, I'll provide the following relative to anticipated performance as we move forward in 2014: Loan growth for 2014, as we stated last quarter, is expected to be similar to 2013, which implies an average growth expectation of 40 to 60 -- $50 million to $60 million per quarter. We plan to continue to fund a large portion of our loan growth with investment portfolio cash flow. Net interest income should continue to increase slowly in line with loan growth, with the net interest margin remaining fairly stable over the next couple of quarters. Gain-on-sale of loans should be higher than the first quarter as loan production is expected to increase modestly over the next few months, and we feel it's appropriate to expect the tax rate to return to the 27% to 28% range as we go forward in 2014. 
 With that, I will turn the call over to Ken Erickson, Executive Vice President and Chief Credit Officer. 
Kenneth Erickson: Thank you, Bryan, and good afternoon. I will begin by discussing the change in nonperforming loans and other real estate owned. As shown in our earnings release, we recorded a significant charge-off in the first quarter. This loan was first considered impaired in the third quarter of 2013 and a specific reserve was created at that time. As a result of additional review, we have determined that the entire balance should be reserved. With the entire balance now reserved, we decided to take the loan as a charge-off in this quarter and continue to review our collection option. 
 With this charge-off and other collection activity, we continue to see improvement in nonperforming loans. Nonperforming loans are at 0.89% of total loans compared to 1.21% as of December 31. Other real estate owned and other repossessed assets were reduced by $1.8 million in the first quarter. As a result, nonperforming assets as a percent of total assets was reduced from 1.23% to 1.06%. Other real estate owned continued to sell at or near book value. Net loss on repossessed assets was $123,000. Collection, ORE and repo expense totaled $1.1 million for the quarter. $4.7 million in sales were recorded in the first quarter, which represented 16% of the other real estate owned as of December 31. April has been a good sales month, with 10 properties having a book value of $2.6 million, already closed. 
 Our existing portfolio is made up of 20 residential properties aggregating $2.6 million and 87 commercial properties that aggregate to $25.4 million. Of these 87 properties, 30 are individual lots and 26 are land lots. Both combined, they comprise $15.2 million of our other real estate owned.
 Provision expense was $6.3 million in the first quarter. As stated earlier, a significant portion of this is related to the larger loan charged-off this quarter. $969,000 of this provision relates to our consumer finance company, Citizens Finance. 30- to 89-day delinquencies remain low at 0.31%. 
 As shown in the earnings release, our coverage ratio of allowance for loan and lease losses as a percent of nonperforming loans and leases was 120.81%, up from 98.27% as shown at the end of the year. The allowance for loan and lease losses as a percent of loans and leases decreased from 1.19% to 1.08% this quarter. This is primarily the result of a portion of the charge-offs recorded this quarter have been reserved in prior quarters. Evaluation reserve of $6.8 million is recorded for those loans obtained in acquisitions. Excluding those loans from the allowance for loan and lease losses as a percent of loans and lease losses calculation would result in a ratio of 1.21%, which would compare to 1.38% for December, 1.47% for September, 1.38% in June and 1.41% for March 31 last year. 
 As mentioned by both Lynn and Bryan, we had good growth in the first quarter. Loans held to maturity increased by $81 million. As shown in the earnings release, the majority of this, $67.7 million was in our commercial and commercial real estate portfolio. Agricultural loans, to include agricultural real estate, decreased by $6.4 million. This reduction is seasonal as many ag borrowers increase their indebtedness prior to year end to prepay crop expenses and defer sales until after the first of the year.
 Within the commercial and agricultural portfolio, 36% of this new loan production was in commercial real estate, of which 3/4 is owner-occupied. 30% was in C&I, 15% was in loans to tax-exempt entities, 9% was in multifamily real estate, with the remaining 10% to 4 other categories. 38% of this production came from Dubuque Bank and Trust, 20% from New Mexico Bank & Trust, 10% from Arizona Bank & Trust, 10% from Minnesota Bank & Trust, 7% from each Morrill & Janes and Wisconsin Community Bank, with the remaining 8% from our other 4 banks. 
 Residential mortgage and consumer portfolios also grew. Combined, these 2 portfolios grew by $19.6 million. The majority of this growth is due to activity related to construction lending with growth also seen in HELOCs, other consumer loans, along with $1.7 million of growth at our consumer finance company. 
 In 2013, we began installation of a new customer relationship management system, EnAct, which is built on the Microsoft dynamic CRM platform. This tool will be fully functional at all of the Heartland banks by the third quarter of this year. The ability to manage sales activity has begun to show its impact. Our bank sales activity and active pipelines are showing growth nearly every month. We know this will be critical to our success since in this economy, much of the loan growth will need to be obtained from outperforming our competitors or their existing customers. With that, I will turn the call back to you, Lynn, to remain available for questions. 
Lynn Fuller: Thank you, Ken. And now we'll open the phone lines for your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Brad Milsaps with Sandler O'Neill. 
Brad Milsaps: Bryan or Lynn, I'm just hoping you could maybe give me a little more clarity on the mortgage banking line item this quarter. I know you mentioned marking the portfolio at quarter end, but just curious on the gain on loan sale margin, look like it may have been above 4% where you had been kind of in that mid-2 sort of range. How much related to -- how much of it did relate to that sort of the quarter-end mark? And sort of where do you see that margin playing out going forward? 
Bryan McKeag: I don't have all the details right here in front of me, Brad, but I think our margin did go up a little bit this quarter. That portfolio, that marked pipeline going up had a pretty big impact. I don't have that number right in front of me. 
Brad Milsaps: Yes, I guess, I'm a little off because you originated less and then it looks like the loan servicing was up linked quarter even though I guess maybe rates were down a bit. So just trying to get a follow-through on kind of the moving parts there and how they kind of play out for the remainder of the year. 
Bryan McKeag: Yes, looks like the mark had somewhere between $0.75 million to $1 million of impact of that extra pipeline that we marked. But I don't have the margin right in front of me unfortunately, Brad. 
Lynn Fuller: And we look at the margin number different ways, but I can tell you from the prior quarter, it held in nicely and ticked up a little bit in the last month of the quarter. It has a lot to do with the mix of business as well. I mean, the more we do in FHA, VA, of course, we have higher profit margins in that, Brad, so mix is part of it and we are pretty much getting our pricing. So I feel pretty good about the margin piece of it. 
Brad Milsaps: And Lynn, you talked a little bit about some branch closures, some other efficiencies that you're targeting, you kind of run in sort of the mid- to low 70s efficiency ratio. Do you have any -- give us sort of efficiency ratio-type targets that you might want to share with us in terms of where you think you can drive that to over the next 3 to 4 quarters? 
Lynn Fuller: I don't know about the next 3 to 4 quarters, it should show improvement, but what I can tell you in our 3-year plan, we have given the member banks a bogey of 55% or lower, and that should get us to about 65% to 68% for the company. So that goal has been put in place and that's been a big topic of conversation at our strategic planning meetings and our strategic council meetings. And I'm pretty positive about the initiatives that we have underway. We have acquired an individual who's a process improvement individual and works on an operations area, and they're methodically going across all of our backroom Heartland support functions. And just in a short amount of time he's been here, he's picked up a substantial amount of cost saves. And then from the retail and the commercial side, we're using some new -- Ken mentioned it, the EnAct CRM system is giving us tools for better sales management and we're creating dashboards that will help us really monitor the productivity and the sales activity on both the retail and the commercial side. So with respect to branch closings, I mean we've had a couple of those last year, there might be a couple more this year. 
Operator: Our next question comes from the line of Chris McGratty -- I'm sorry, Jeff Rulis with D.A. Davidson. 
Jeff Rulis: I was wondering if you could give us a little more color on the loan that was charged off and if there are any other portfolio that share characteristics? 
Lynn Fuller: Yes, I know a lot -- there's been a lot of speculation as to what that credit is and we've consistently said that customer information is to be maintained confidential. So I can tell you that we really don't have a lot more of that type of credit and no more what I would call watch credits in that category, but there's just not a lot of that type of business in our portfolio. 
Jeff Rulis: And I guess related on the provisions kind of bounced around a little bit. Obviously, some onetime events in there, but I guess as you see the remainder of the year, any guess as to where you see that provisioning level, especially given the loan growth that you had? 
Kenneth Erickson: Of the loan growth, I think you'd have to peg that at probably 1.25 of the growth that you're seeing and there will be the probably relatively meager charge-offs throughout the remainder of the year. Instead, we've got the nonperformers down to 0.89%. I think that's the lowest since June of '07. So I don't see much loss sitting in the existing portfolio this day and today. 
Lynn Fuller: I would agree with that as well. 
Jeff Rulis: And then one other one on the -- the trust fee income, you mentioned some switching things around. And the reporting, I assume that's just in Mortgage Banking but -- and if so the, trust fees had a nice jump in Q1 after a kind of flattish quarterly run rate in '13. Anything going on there onetime or is that some good growth? 
Bryan McKeag: I think it's mostly growth. I mean our assets under management have gone up relatively consistently here last half of 2013 so I think there's bigger base from which to earn off of. 
Jeff Rulis: So if I couple that with your comments on the Mortgage Banking, I mean it sounds fairly positive that growth in noninterest income is your expectation? 
Bryan McKeag: Yes, it's where we're putting a lot of focus in Treasury Management as well as those other areas you've already talked about. 
Operator: Our next question comes from the line of Chris McGratty with KBW. 
Christopher McGratty: On the size of the balance sheet you commented about fund growth with securities cash flow. If you look at the securities book today, it's about 30% in assets. Should we expect, based on commentary over the next, call it, 2 years that, that ratio should go somewhere to kind of call it, 25%? Is that the right way to think about it? 
Lynn Fuller: Yes, Chris, what we would more typically look at as a percent of securities to total assets would be 20%. So we want to keep a little excess liquidity. Rates are going to go up at some point in time and, hopefully, they go up because business activity picks up. And if business activity pick up, our commercial borrowers are going to use their cash first and then start to advance on their committed [ph] lines. Right now, we only average about 40% usage on our committed [ph] lines. So we want to keep a little excess liquidity, but you can imagine that you're going to see over the next 2 years, securities go from 30% down towards the 20% range. How far we get down depends on how good the economy is and our ability to generate loans. 
Christopher McGratty: Okay, that's helpful. Just I want to circle back on the credit. I think in the third quarter, when you had the outfitted operation [ph], I think it was the third quarter, you talked about I think it was a holding company loan. I'm interested in why -- is this the same relationship which I think it is? And number 2, could you remind us how large this is for the company? 
Kenneth Erickson: As Lynn said a minute ago that those questions get often pointed to us disclosing who the customer was. Afraid you'll start connecting the dots and we just keep customer confidentiality very, very close. So we really don't want to answer that, Chris. 
Christopher McGratty: Okay. Maybe asked another way, is there something you're seeing in the portfolio? In general, I can appreciate the NPAs are under 1%, but the last couple of quarters have been pretty choppy. I guess at this point in the cycle, is there anything, Ken, to suggest that this level of volatility should continue or should we -- are there any other areas of stress that we should be keeping an eye on? 
Kenneth Erickson: I really don't see any other choppy areas in there, Chris. Nationally we've got a consumer loan portfolio within Citizens Finance but we carry a reserve there, specifically on those loans for that company in the 4.5 to 5 range that matches the loss that we see from that company, but they make up only $67 million of the total loan portfolio so that's all factored in the consolidation. 
Lynn Fuller: I think probably the way Ken -- the way I hear Ken say this is there'll bumps but there should be much smaller bumps as we go forward. But this was the big bump that we had to work through. 
Operator: Our next question comes from the line of Jon Arfstrom with RBC. 
Jon Arfstrom: Just a couple of follow-ups, maybe one for you, Ken, on the reserve. Just based on your commentary that the 1.25% of growth plus the charge-offs, I guess what you're saying is the reserve as a percentage of loans is about where it's going to be in terms of bottoming and that you really don't expect too much more in terms of reserve releases. Am I hearing that correctly? 
Kenneth Erickson: Yes, you've heard that correct. The release this quarter really came from what we had put in there as a reserve against the loans that were charged off this quarter and we have a fairly low dollar amount of impairments in our reserve at this time. 
Jon Arfstrom: Okay. Good. And then a follow-up on the securities portfolio the kind of the percentage of earning assets. Bryan, you don't expect any more quote repositioning that's more of run-off in the securities book fund the loan growth and the balance sheet is roughly the same size, is that the right way to look at it? 
Bryan McKeag: It should be. In fact, our investment area, they're always looking -- there are opportunities that seem like it's exactly the right time to do something. But by and large, I think there's about $60 million or so of run-off that just should naturally occur from the portfolio the way it's situated and that's about what we're projecting for loan growth so we shouldn't be pushing to produce that over and above just the run-off. 
Jon Arfstrom: Okay, good. And then, Lynn, maybe just probing a little bit on acquisitions. You sounded pretty optimistic in your prepared comments on the activity that's out there. Just curious how realistic you think a bank acquisition is in the near term and what kind of deal activity are you seeing? 
Lynn Fuller: I would hope that we'd be able to do one more, one this year at least. They're just -- it's pretty broad-spread. It's across almost all of our markets that there are opportunities. Now the timing of it is what's difficult to project, but I would hope we'd still do one this year. 
Jon Arfstrom: And are you thinking filling in the footprint or adding on to the footprint? Or what is high on your priority list? 
Lynn Fuller: Filling in the footprint is the highest priority. The 2 states that we really need to add scale to would be Colorado and Minnesota, both in the Minneapolis-St. Paul market and the Denver market. We just don't have enough scale there. Those 2 banks continue to drag on us. You can see that in our earnings release, so those are real high priorities. If we can't find anything there, we have other opportunities in a number of the other states we operate in. 
Operator: Our next question comes from the line of John Rowan with Sidoti & Company. 
John Rowan: Just one [ph] question, with the decline in the securities portfolio and the strong loan growth, was there any discernible impact to your regulatory capital ratios and what was the total workspace ratio at the end of the quarter? 
Bryan McKeag: I don't have the risk-based capital right in front of me. That's one of those things that we're still working on as we prepare our regulatory reports. We should -- we shouldn't have seen -- if anything, they probably should have gotten better and the reason I say that is, overall, assets are down and our capital has gone up for the quarter. So quarter-over-quarter, I believe that those numbers should be strengthening, unless I'm not thinking of something correctly, but I think those 2 should strengthen those ratio. 
John Rowan: Shouldn't there be some capital consumption adjusted to the different risk rating between securities and loans? 
Bryan McKeag: There will be some, yes, but I don't think that that's probably going to outstrip the growth that we had in capital. It should keep them the same or they should get slightly better. 
Operator: Our next question comes from the line of Dan Cardenas with Raymond James. 
Daniel Cardenas: Just a couple quick questions here. Bryan, if you could, I missed it when you gave the forward-looking guidance for the tax rate. What were your expectations for the rest of this year? 
Bryan McKeag: I think they should be in the upper 20%, probably 27%, 28%. I think when we get towards that $0.50, which is where we would have been without this charge, I think we were right around 26.5% to 27%. So the only thing that changes that is if we buy any tax credits that happen to hit. Those can be little lumpy. But I think our run rate, kind of the normalized rate, should be in that 27% to 28%. 
Daniel Cardenas: Excellent. And then in terms of the loan growth that you guys experienced this quarter, is that still pretty much market share grab or are you beginning to see glimmers of hope that local economies are starting to improve? 
Lynn Fuller: No we're seeing some growth in the economies. Just about 2/3 of that growth came from new business expansion, only about 1/3 of it came from taking it from competitors. 
Daniel Cardenas: And then you're confident that you can continue to grow the loan portfolio without putting significant pressure on the margin going forward? 
Lynn Fuller: Yes. 
Operator: Our next question comes from the line of Mel Miller, private investor. 
Unknown Attendee: Just a question, maybe I misunderstood Bryan, but I think, Bryan, you mentioned about the municipal purchase from the securities portfolio and I thought you said that those will be moved -- those were settled in the held-to-maturity and I just wondered if that's the case and a change in philosophy from available for sale. 
Bryan McKeag: Yes, what we did and maybe it wasn't clear on what I said is we sold non-bank qualifieds out of our available-for-sale portfolio and then repurchased back the $25 million of bank-qualified, and we did put those in our held-to-maturity portfolio. 
Operator: Ladies and gentlemen, at this time, there are no further questions. I would like to turn the conference back to Mr. Fuller for any closing comments. 
Lynn Fuller: Thank you, Jen [ph]. In closing, other than the effect of the one charge-off, that large credit we spoke of, we've now got that behind us and, as a result, we're very pleased with Heartland's core earnings and our overall performance. To recap the quarter, again, loan growth was excellent, increasing by $81 million or a 9% annualized rate. Margin increased by 10 basis points up to 3.92% and nonperforming loans are now below 1% at 0.89%. And as Ken said, that's the lowest level we've seen in nearly 7 years. And we are focused very much on key priorities that will drive efficiencies across the company, revenue growth and continued earnings improvement. So in short, Heartland has a solid earnings potential and I'm real optimistic about the rest of 2014. 
 I'd like to thank everyone for joining us today and invite you to join us at our Annual Stockholder Meeting, which is on May 21 here in Dubuque. And if not then, certainly at our next quarterly conference call scheduled for July 28th of 2014. So with that, thanks again, everyone, and have a nice evening. 
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.